Operator: Greetings, and welcome to the Installed Building Products Fiscal 2023 First Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Darren Hicks, Managing Director of Investor Relations. Thank you, sir. You may begin.
Darren Hicks: Good morning, and welcome to Installed Building Products first quarter 2023 conference call. Earlier today, we issued a press release on our financial results for the first quarter, which can be found in the Investor Relations section of our website. On today’s call, management’s prepared remarks and answers to your questions may contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements about future expectations, anticipation, beliefs, estimates, forecasts, plans and prospects. These forward-looking statements are based on management’s current expectations and involve risks and uncertainties. Any forward-looking statement made by management during this call is not a guarantee of future performance, and actual results may differ materially as a result of various factors, including, without limitation, the adverse impact of the ongoing COVID-19 pandemic, general economic and industry conditions, rising home prices, inflation and interest rates, the material price and supply environment, the timing of increases in our selling prices and factors discussed in the Risk Factors section of the company’s annual report on Form 10-K as may be updated from time to time in our SEC filings. Any forward-looking statement speaks only as of the date hereof. The company undertakes no duty or obligation to update any forward-looking statements as a result of new information or future events, except as required by federal securities laws. In addition, management uses certain non-GAAP performance measures on this call, such as adjusted EBITDA, adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, adjusted gross profit, adjusted gross profit margin and adjusted selling and administrative expense. You can find a reconciliation of such measures to their nearest GAAP equivalent in the company’s earnings release and additional reconciliation for adjusted EBITDA for earlier fiscal years in our investor presentation, which are available on our website. This morning’s conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer and Michael Miller, our Chief Financial Officer; and joined by Jason Niswonger, our Chief Administrative and Sustainability Officer. I will now turn the call over to Jeff.
Jeff Edwards: Thanks, Darren. Good morning to everyone joining us on today’s call. As usual, I will start the call with some highlights and then turn the call over to Michael, who will discuss our financial results and capital position in more detail before we take your questions. IBP produced record first quarter sales and profitability due to the exceptional efforts of our employees and the excellent service they provide our residential and commercial customers everyday. First quarter sales benefited from our recent acquisitions and robust same-branch growth within our multifamily and light commercial end markets. The ongoing strength in multi-family helped drive first quarter residential sales growth by 7%, which more than offset a modest deceleration in single-family revenue. Our first quarter results reflect the resiliency of our business model, the hard work of our employees nationwide and the benefits of our product, market and geographic diversification strategies. Looking at our first quarter results in more detail, we experienced same sales growth in both our residential and commercial end markets. For the quarter, within our installation segment, we experienced a 4% increase in residential same-branch sales from the prior-year period. A 38% increase in multifamily same-branch revenue more than offset a 3% decline in single-family same branch sales. By comparison, total U.S. residential completions increased 12% during the first quarter, which was driven by significant year-over-year growth in multifamily completions. IBP’s multifamily sales growth accelerated to 38% on a same-branch basis, up from 23% on a same-branch basis last year. We acquired C. Q. Insulation, a Florida-based insulation installer uniquely focused on the new multifamily end market in 2015, and the company has been successful in selling IBP’s insulation services across branches and other markets that historically have not served multifamily customers. Within our commercial business, first quarter same-branch installation sales increased 22%, driven by light commercial project strength. Bidding activity and project bid acceptance rates in our heavy commercial business remained steady in the first quarter relative to the fourth quarter, and same-branch sales have begun to show improvement, increasing modestly from the prior year. We are focusing on improving our operational efficiency while pursuing projects with favorable economics. Our first quarter performance reflects our continued strategic focus, which prioritizes the profitability of a given job over job volume. We have worked hard to align with national, regional and local builders, who value our local market knowledge and job efficiency. We believe this approach is needed now more than ever as builders strive for more normalized construction cycle times. During the quarter, price mix increased by 16.5% over the prior-year period. The inflationary trends we experienced in the construction industry throughout 2022 carried forward into the first quarter, and we continue to make the necessary adjustments to align our pricing with the value that we offer our customers. We believe our strategy focusing on profitable work to help us achieve same-branch incremental EBITDA margin of 39.4%, a first quarter record. With a focus on growth, our profitability standards extend to our acquisition targets, and we have closed three deals so far this year with over $46 million of annual revenue. We expect to acquire at least $100 million of revenue once again in 2023. During the 2023 first quarter, we completed two acquisitions, including a Maryland and West Virginia-based installer of fiberglass and spray foam insulation into residential projects with annual revenues of approximately $4 million and a Rhode Island-based installer of residential mechanical and industrial installations serving residential, commercial and industrial customers across the Northeast with annual revenue of approximately $39 million. In April of 2023, we also completed the acquisition of a Florida-based installer of fiberglass and spray foam insulation serving residential and commercial customers with annual revenue of approximately $3 million. Although we are still in the first half of 2023, indications from recent public homebuilder earnings commentary supports our belief that the housing market is returning to more normal seasonality and housing demand during the spring selling season has been fairly well supported. We believe the residential housing market will be more resilient in the back half of 2023 as a result of strong employment trends and a relatively low existing home inventory levels. In addition, the backlog of our multifamily business extends beyond 1 year. We expect strong execution in our repair and remodel business to continue with incentives from the inflation Reduction Act of 2022 likely to support demand this year. We believe we are well positioned to navigate future changes in the U.S. housing market given our strong customer relationships, experienced leadership team, national scale and diverse product categories and end markets. In addition, our strong balance sheet, coupled with our high operating cash flow generating capability, supports ongoing acquisitions, dividends and opportunistic share repurchase activity. I am proud of our continued success and excited by the direction in which IBP is headed. So with this overview, I would like to turn the call over to Michael to provide more detail on our first quarter financial results.
Michael Miller: Thank you, Jeff and good morning everyone. Consolidated net revenue increased to a first quarter record of $659 million, compared to $587 million for the same period last year. The 12% year-over-year improvement in sales during the quarter was primarily driven by an increase in price mix from the prior-year period and the revenue contribution from recent acquisitions. This quarter, the price mix calculation benefited significantly from the strong growth in our multifamily and light commercial end markets, which favorably impact mix due to higher average job prices. This growth contributed to an 11% increase in our installation segment revenue to $623 million. Our other revenue, which includes IBP’s manufacturing and distribution operations, increased from $26 million to $37 million, driven by organic manufacturing and distribution revenue growth as well as the April 2022 acquisition of Central Aluminum. On a same-branch basis, residential installation revenue improved 4% from the prior-year quarter as multifamily growth of 38% offset a 3% decline in single-family same-branch sales. Same-branch commercial sales increased 22% in the quarter. Adjusted gross profit margin improved 250 basis points year-over-year to 31.9% in the first quarter, which benefited from strong price mix growth during the quarter. It’s important to highlight that our operating segments have different gross profit profiles and segment gross profit is exclusive of depreciation and amortization and the cost of sales. During the 2023 third quarter, our installation operating segment’s gross profit margin was 34.1%, compared to the other operating segment gross margin of 26.5%. Again, both of these margins are before depreciation and amortization and cost of goods sold. Adjusted selling and administrative expense as a percent of first quarter sales was 17.9%, compared to 16.9% for the prior year period. Higher selling and administrative expenses relative to the same period last year primarily reflects higher variable compensation, including selling commissions and bonuses due to the higher gross margin and improved profitability. On a GAAP basis, our first quarter net income per diluted share of $1.74 increased 53% from the prior-year quarter, and our adjusted net income per diluted share improved 40% to $2.15. During the 2023 and 2022 first quarters, we recorded amortization expense of approximately $11 million related to the acquisition of new businesses. This non-cash adjustment impacts net income, which is why we continue to believe that adjusted EBITDA is the most useful measure of profitability. Based on recent acquisitions, we expect second quarter 2023 amortization expense of approximately $11.2 million and full year 2023 expense of approximately $44.3 million. We would expect these estimates to change with any acquisitions we close in future periods. Adjusted EBITDA for the 2023 first quarter improved 25% to $105 million. Adjusted EBITDA as a percent of net revenue was 15.9% for the 2023 first quarter, a 160 basis point improvement from the same period last year. Same-branch incremental adjusted EBITDA margin was a first quarter record of 39.4%, compared to 22.9% for the same period last year. We continue to target full year long-term incremental adjusted EBITDA margins in the range of 20% to 25%. For the 2023 first quarter, our effective tax rate was approximately 26.8%, and we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31, 2023. Now let’s look at our liquidity, balance sheet and capital requirements in more detail. Our business model continues to generate strong operating cash flows. For the 3 months ended March 31, 2023, we generated $74 million in cash flow from operations compared to $48 million in the prior-year period. The year-over-year increase in operating cash flow was primarily associated with higher net income and lower net working capital requirements. Through interest rate swap agreements, we have fixed the interest rate on $400 million of our existing variable rate debt until December 2028, limiting our interest rate exposure. In addition, we have no significant debt maturities until 2028. Our first quarter net interest expense fell to $9.7 million from $10.6 million in the prior-year period as we were able to earn a higher interest rate on cash and cash equivalents invested throughout the quarter. At March 31, 2023, we had a net debt to adjust as trailing 12-month EBITDA leverage ratio of 1.4x compared to 1.46x at December 31, 2022, which is well below our stated target of 2x. At March 31, 2023, we had $328 million in working capital, excluding cash and cash equivalents and investments. Capital expenditures and total incurred finance leases for the 3 months ended March 31, 2023, were approximately $16 million combined, which was 2.4% of revenue compared to 1.9% for the same period last year. With our strong liquidity position and modest financial leverage, we continue to expand the business through acquisition and return capital to shareholders. IBP’s Board of Directors approved a second quarter dividend of $0.33 per share, which is payable on June 30, 2023, to stockholders of record on June 15 and 2023. We are committed to continuing to grow the company while returning excess capital to shareholders through cash dividend payments and opportunistically repurchasing our shares. With this overview, I will now turn the call back to Jeff for closing remarks.
Jeff Edwards: Thanks, Michael. I’d like to conclude our prepared remarks by once again thanking IBP employees for their hard work, dedication and commitment to our company. Our success over the years is made possible because of all of you. Operator, let’s open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Susan Maklari with Goldman Sachs. Please proceed with your question.
Susan Maklari: Thank you. Good morning, everyone and congrats on a good quarter.
Michael Miller: Great. Thank you.
Susan Maklari: My first question is you’ve had very impressive gross margins coming into this year. As you think about some of the dynamics that are going on around inflation relative to volumes, how should we be thinking about your ability to sustain some of this improvement and any other broader trends that you can share with us there?
Michael Miller: Sue, this is Michael. I mean on the inflation front, I think we were – talked a lot about this in the fourth quarter call as well. We believe we are in a more normalized inflationary environment right now. Really, the supply chain disruptions that we experienced in ‘22 have really completely abated at this point. So, that’s creating a much more benign inflationary environment. In terms of the progress that we made on gross margin, we feel very good about our continued focus on price over volume. And obviously, as we saw in the first quarter results, that benefits the gross margin. So it’s important for us to be able to maintain the progress that we’ve made on gross margin, and we will continue to value price over volume.
Susan Maklari: Okay. That’s very helpful. And then following up, have you heard anything – or what are you hearing from your private builder customers? How does that compare to what we’re seeing from the larger publics in there? And any thoughts on the dynamics that we could expect from the mix shift as we go through this year and we see some of the movements across both residential and nonresidential?
Michael Miller: Yes. So Sue, this is a similar story to what happened in the fourth quarter, is that we saw higher growth rates from the regional and local builders than we did from the public or the big national builders. We expect that, that trend is going to reverse as we go through, particularly the back half of the year, because we believe that the public builders are in a very, very strong financial position, probably the best financial condition they have been in since they have been public. And I think it’s been very clear if you follow the builders and – both, I would say, privately and publicly. I think there has been, on the big public builders’ front, a strong commitment to pivot towards a higher percentage of spec inventory and they clearly have the capital and balance sheet to do that. We would say that a lot of the regional and local builders are not in that same position. So – again, as we go through the back half of the year, we think that we will see a higher percentage of spec inventory coming on and that will be driven a lot by the production builders, which will then sort of change that mix shift, if you will, more towards production builders. And you might remember that the impact that that has on our disclosures is it increases volumes but it’s a headwind to price mix.
Susan Maklari: Okay. Thank you for all the color and good luck.
Michael Miller: Thank you.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets. Please proceed with your question.
Mike Dahl: Good morning. Thanks for taking my questions. Maybe just a follow-up on the mix standpoint, could you just help us quantify maybe from the price mix like what was the mix impact? And what was more of a true like-for-like price late in the quarter?
Michael Miller: Yes, Mike, this is Michael. As you know, we don’t really disclose that breakdown. But we did, in our prepared remarks, note that both multifamily and light commercial, which were very strong in the quarter, do help the price mix calculation because the average job price is higher for those projects than a traditional single-family. That being said we continued to get price or maintain price, I should say, that came over as very solid carryover from the first quarter of last year.
Mike Dahl: Got it. Right. So I guess the follow-up kind of bigger picture, I know it’s not exactly comparable how you report or your mix versus your peer, but kind of another quarter in which I think the volume from IBP was lower than your larger peer and lower than the completion number, the price was stronger. I understand some of that is mix, but the optics would still suggest that there’s maybe a little trade-off going on, and your own opening remarks kind of reference that a little about being selective on which jobs you take and what you’re getting paid for and where the value is. So could you just help us understand, especially as the environment has changed a lot over the past handful of months, how you’re evaluating that trade-off, where you think you are in terms of, as we go through the year, how you would track against the broader market? That would be helpful.
Michael Miller: Well, I would say a couple of things. One, we will always value price over volume. I mean we’ve been consistent about that since the day we went public and that will continue through the course of this year. I think it’s difficult to make a comparison on a quarterly basis of our volumes to completions, particularly, again, because it’s just 1 quarter’s worth of information from the Census Bureau. But also given the unprecedented level of the disconnect between completions and starts that’s been going on, I think the information from the Census Bureau is in a bit of a catch-up mode in terms of what’s going to happen with completions. And I’m talking really primarily about the single-family side right now. And we believe that, because they are pretty much across the board, cycle times on single-family have pretty much caught up to be normalized. And that obviously brings forward, in our estimation, some of the decline in starts and that disconnect between starts sort of running around 800,000 and completions running at 1 million. We think that, that impact that the industry will see in terms of that delta or that disconnect will be felt sooner than what we may have expected, but at the same time, we’re very encouraged by what we’re seeing, not only from our regional and local customers in terms of the spring selling season, but public builders as well. I mean they’re showing pretty solid quarter-over-quarter increases in backlog, mid to high single-digits, which is very encouraging from our perspective. And I think it’s interesting for the builders that have reported, at least up to this point, which is most of them. And what’s interesting when we look at the backlogs and order trends within the builders, that does not include their speculative inventory. So as a consequence, right? As they lean in more towards specs, which we believe is a pretty common theme among the public builders that even – that makes those numbers that we are looking at even more encouraging. So we feel better about, I would say, the trajectory of single-family in the back half of the year than maybe we did when we had the fourth quarter call. But I would say that the softness and weakness that we are all expecting in single-family is probably going to be more concentrated in the second quarter.
Mike Dahl: That’s very helpful. Thank you.
Operator: Our next question is from Phil Ng with Jefferies. Please proceed with your question.
Unidentified Analyst: Hey guys. This is Maggie on for Phil. I guess just digging into that a little more. You talked about kind of a return to normal seasonality and sentiment has certainly improved the last few months. Maybe if you could just talk about how your conversations with customers have changed since the last call? And then – particularly how that relates to your outlook in the back half of this year?
Michael Miller: Well, I would say, it’s been very encouraging. I think the spring selling season has turned out to be better than people had maybe feared or a little concerned about. And I think there is – it’s clear that the existing home inventory is not increasing to support the demand. And I think it’s also very clear that the market – the buyer has adjusted much more rapidly to the higher rate environment than what we had as our expectations. And we believe that rates most likely stabilizing at this point. We are very constructive for the consumer and the desire to purchase a home. So, we are very constructive about the market, not just back half of the year, but on the single-family side. 
Jeff Edwards: Well, and all the information that the public builders have put out will say the same thing.
Michael Miller: Right.
Jeff Edwards: In fact, quite a bit more optimistic than they were in third and fourth quarter in terms of where they thought it was headed last year - for this year, but. So, we are encouraged by that. And we are also encouraged by the fact that cycle times have normalized, which means that when that work gets started and the foundation is poured and the house is framed, that work comes to us a lot faster because there aren’t the bottlenecks that had existed in 2022 to get the framing done and the foundation poured.
Unidentified Analyst: Okay. Great. And then just on the commercial side, following all the regional bank issues, which seems to be continuing, how are you thinking about the impact of those and potentially tighter lending conditions on your commercial customers and how that impacts your backlog, probably more into 2024?
Jeff Edwards: I would say, at this point, we have not seen any impact at all. Bidding activity has been consistent. Bid acceptance activity has been consistent. We haven’t seen any significant delays or cancellations of projects in our backlog. So, I would say, for now, we are not seeing an impact. But I think it’s still, for everyone, there is a big uncertainty out there, just not knowing what, if any, impact there is going to be. I would say that from what we see and what we hear and what we read, it feels like the Fed is going to do – they are going to be prudent. But at the same time, they had recognized the potential for – the tightening credit has the potential to weaken the economy more than they would probably like. And I think they are going to do what they can to make sure that, that tightening is as small as is possible. But obviously, I don’t – we don’t know, right. We are just – just like everyone else, we are just basing that on everything we are reading here.
Unidentified Analyst: Yes, of course. Thanks for the color.
Operator: Our next question comes from Adam Baumgarten with Zelman & Associates. Please proceed with your question.
Adam Baumgarten: Hey. Good morning guys. It’s probably for Jeff, but how are you guys thinking about the prospects for additional price increases from the fiberglass manufacturers?
Jeff Edwards: This is Jeff Edwards. So, it’s clearly a different environment than it has been for the last 30 months, 36 months, which I – quite frankly took us all by surprise. I think the whole COVID, kind of tightness in material and other things related to that. But I still think it’s a healthy market. I mean the industry is still kind of selling and producing at near capacity, if not at capacity, blowing holes tighter than that at this point in time. But I don’t know that it’s particularly inflationary period of time, but I don’t think it is, as of yet, in any way, a deflationary period of time either.
Adam Baumgarten: Okay. Got it. And then just on the multifamily backlogs, I think you guys talked about that stretching out over a year, about a year. Should we expect that to turn to a potential headwind at some point next year in 2024?
Jeff Edwards: If it does, it would be in the back half of ‘24. I mean the backlog is, as Jeff pointed out in our prepared remarks, is – stretches beyond the year basically.
Michael Miller: Well, I would also add to it and say that although construction cycle times inside single-family have started to come back down, they are still elongated in multifamily, in my opinion, in a fairly big way.
Jeff Edwards: Very much so. And we do constant on that front. We are doing constant check-ins, if you will, with the multifamily projects that we bid and the multifamily projects that we have in our backlog, to make sure with the GCs that everything continues to be on track. And it’s – right now, everything seems to be working fine, but – except for the fact that cycle times are incredibly extended.
Michael Miller: Well, it may sound a bit silly because you could say, well, a carpenter is a carpenter, but that’s not exactly a framer will say. It’s not exactly true. There – a lot of times, it’s not the same workforce in the same pool of workers that are doing multifamily versus single-family.
Jeff Edwards: Right.
Michael Miller: And that’s true of most subs.
Jeff Edwards: Except for us.
Michael Miller: Except for us, and a few others that kind of straddle, I wouldn’t say a few others, but in our industry, and there are some others that do it in other trades, but a lot of times it’s, they are different.
Jeff Edwards: Yes. I mean if you just look at the – using again the information from the Census Bureau, I mean if you look at under construction, units under construction, I mean single-family has come down from an average above 800,000 to slightly below 700,000, whereas multifamily has done the opposite to go from an average of – in the slightly above 800,000 to above 940,000. The fact that the under-construction units for multifamily is – has like a 200,000, more than 200,000 unit delta between single-families is absolutely unprecedented.
Adam Baumgarten: Got it. It makes sense. Thanks guys.
Jeff Edwards: Sure.
Operator: Our next question comes from Joe Ahlersmeyer with Deutsche Bank. Please proceed with your question.
Joe Ahlersmeyer: Hey. Thanks for the question. Good morning.
Jeff Edwards: Good morning.
Joe Ahlersmeyer: You, in an earlier response to a question, talked about – and others too, that normalizing supply chain environment, fighting less fires on a branch basis. Can you talk about any early progress around filling in product and capability white spaces, again, sort of on a branch-by-branch basis, not maybe even at a regional level?
Jeff Edwards: Well, I think as you know, because we have talked a lot about this, the other product sales are a key component of our strategy when sort of our core single-family insulation business is in a soft patch, and that’s continuing. I mean one of the things that we didn’t mention when we were asked about the price mix is we definitely saw higher rates of growth in the other products during the quarter versus our core insulation. And that has a headwind to price mix. And obviously, there were multiple things that had a positive impact on price mix as well. But yes, our branches are continuing to cross-sell the other products and see that as a key component of the strategy.
Joe Ahlersmeyer: Right. That’s great to hear. The other question I had, just quickly more of a technical question on the multifamily mix as a benefit. If you could just maybe break this down simplistically, the components of mix, not looking for quantification, but helping understand if there is a lower amount of take per unit, how does that actually result in a higher mix benefit to the segment? Is it that maybe on a job basis for multifamily, there is one job, but there are several units and so maybe that’s how it shakes out, any help?
Jason Niswonger: Yes. This is Jason Niswonger. That’s exactly right. It’s not calculated on a per unit basis, it is on a per job basis where there would be multiple units being completed.
Joe Ahlersmeyer: Got it. It makes sense, Jason. Thanks a lot for that. Take care guys.
Jeff Edwards: Sure. Me too.
Operator: Our next question comes from Trey Grooms with Stephens. Please proceed with your question.
Noah Merkousko: Good morning. This is actually Noah Merkousko on for Trey. Thanks for taking my question. First, I know we have talked about it a lot, these mix dynamics going on. But I just wanted to clarify, as we look out over the balance of the year, it sounds like there is cross currents. On the one hand, it’s a price mix headwind from more production builders, but it sounds like multifamily is still going to be strong, and that’s a tailwind. So, how do you kind of – and again, I don’t need exact numbers, but how do you think about those – do those completely offset each other and it’s a wash, or is one more powerful than the other? And if I could sneak one more in here is, how does that impact margins?
Jeff Edwards: So, I mean on a full year basis, not talking any specific quarter, we would expect that there is continued benefit from – through the year on multifamily and like commercial and that will significantly – help to significantly offset any sort of volume declines that we experience. But as I have said in the – in an answer to a previous question, I mean we do – unlike what we talked about in the fourth quarter, we do expect that because the cycle times in single-family have normalized that the softness that we believe we will experience and not we, but the industry will experience, is going to be concentrated more in the second quarter and will improve as we go through the back half of the year, based on the information that we currently have, both from our regional and local builder customers and from particularly the public builders. So, we believe that if we look back at the year, while the price mix calculation will absolutely be benefited by high – much higher growth rates in multifamily and like commercial that they will begin to normalize, particularly as we go into ‘24, back to more historical levels.
Noah Merkousko: Got it. That’s helpful. And then for my follow-up, clear picture question here. It seems like we may have hit or approaching the trough in housing starts. There is a lot of positive sentiment coming out of the spring selling season. And I was hoping you could maybe compare and contrast how the past housing cycle, I guess call it, starting pre-COVID, would compare to a new up-cycle in housing. Clearly, there was a lot of supply chain constraints, issues with material and labor. And I guess ultimately, I am trying to figure out, do you think in another housing upturn that that cycle times get extended again and we run into the same issues where your ability to realize volume growth is going to be delayed from starts than what it normally is?
Michael Miller: No, actually. I think that – I mean of course, it depends on what the growth rates look like and how quickly it comes. But it – starts which – we would agree that starts are stabilizing and that we wouldn’t expect significant declines from this point, and we would expect increases, maybe not huge increases, but still increases. If you think of – and again, I am just talking about single-family, with single-family starts running around 800,000, but completions running around a million, that implies that you can increase starts 25% from where they are today and be at the same level of industry capacity. Now again, based on the answer that we had to the previous question, I mean the Census Bureau information, particularly on a quarterly or monthly basis, isn’t a complete picture, but it certainly is directionally correct. So, as a consequence, we think there is plenty of room to grow, from a starts perspective, with the existing capacity in the industry, and then that’s not assuming that we even get growth within capacity. Now fiberglass, as I think everybody knows, is pretty tight right now. And it leads to Jeff’s answer on why we don’t think it’s necessarily a deflationary environment, but the reality is that all building products right now are experiencing some softness given the significant decline in starts. I mean if you look at on a quarter-over-quarter basis, the public builders in the fourth quarter, they reported backlogs that had declined over 20%. Now, what we find extremely encouraging is that their quarter-over-quarter first quarter backlogs are up mid to high-single digits. So, that’s very encouraging, and it kind of constructs or informs our view of being a little bit more positive about the back half of the year than we may have been, but also that fourth quarter backlog that was down, the highest that it’s been down in this cycle, is the work that we are working on in the second quarter. So, as I have said, the answer to a previous question, we think that the softness in single-family is going to be more concentrated in the second quarter than we had originally anticipated, but that the recovery is actually better than we expected as we go into the back half of this year.
Noah Merkousko: Right. And with normalized cycle times, you will benefit from the volume and the upswing quicker?
Michael Miller: Exactly.
Jeff Edwards: And as we have said before, we are not – we are typically not and had never really been the bottleneck. And Michael, hit it again, I mean one, there is capacity inside currently of the capability that the overall labor force contractor workforce had. In addition to that, I think we have been on record as before, not knowing – I mean we are not absolute experts, but there is probably 5% to 10% kind of capacity growth that we were able to achieve kind of even through COVID, I think on a year-over-year basis.
Michael Miller: Yes, absolutely.
Noah Merkousko: Got it. Thanks guys. That’s really helpful and good luck with the rest of the year.
Jeff Edwards: Thank you.
Operator: Our next question comes from Stephen Kim with Evercore ISI. Please proceed with your question.
Stephen Kim: Yes. Thanks very much guys. Just to clarify this multifamily accounting is one job. Just from a clarity perspective, townhomes and duplexes and things of that nature, those are attached single-family, is that considered one job as well?
Jason Niswonger: It wouldn’t be an entire building would be considered one job. And so, if you are looking at a multiunit apartment complex, there might be multiple trips. Each of those multiple trips would be a job.
Stephen Kim: Okay. Got it. That is helpful. Okay. Alright. Okay. The second question I had relates to the 45L, ENERGY STAR opportunity. This is something that – I found intriguing that we haven’t heard you talk more – or you and your other competitors talk more about, but it would seem like that would be an open door for you to be able to extract a higher value per unit. It seems like the detail around the quality of the install is very important for builders achieving that tax credit. So, can you just talk a little bit about that change, whether or not you have tried to quantify in any way the positive impact that…?
Michael Miller: I mean, yes, it’s definitely – there is the potential for pretty significant impact on our repair and remodel business and even on the new single-family side as builders see the benefits and we educate them to the benefits of using some of the new tax credits that are there. I would say that though, because the rules have been recently written, I don’t think the uptick in the benefit, if you will associated with that has been felt or realized yet. We think that that’s going to take time. Fortunately, because the programs are now “permanent” it means that we can invest in the education and the education materials to really educate our builders. And I am not talking about the public as much as the regional and locals, as well as the existing homeowners to the benefits associated with it. So, that’s – there is going to be a very solid benefit associated with that, but it’s not going to be felt immediately. It will come over time.
Jeff Edwards: Well, it’s clearly – I mean you know it’s not a major, major part of our business. So, even substantial growth within that, it’s not incredibly impactful across the whole company. But in addition to that, it’s – the work has performed in a different way than our kind of core new construction work. Believe it or not, installers are different a lot of times. The sales – prospect of the sales process is different. So, it is not – you can’t flip on the light switch in terms of kind of converting a branch. You might be doing a lot of multifamily and a lot of production builder work and immediately say you are going to start doing R&R work.
Stephen Kim: No, go ahead. You said fortunately something.
Michael Miller: Yes. I would say fortunately, because our footprint – we started in Columbus, Ohio, and we started acquiring businesses in adjacent markets, which tend to be heavier repair and remodel markets. We have had a good repair and remodel business in the top half of the country. And we are working hard to make sure we bring the energy benefits, quite frankly to our customers in those markets.
Stephen Kim: Got it. That’s the – well, we are looking forward to that. Last question I had is on heavy commercial. I think you had said that it could be a potentially big tailwind, particularly later in the year. Obviously, you got a comps issue, which is going to make those year-over-year changes look pretty dramatic, I would assume. I guess my question is, kind of coming through the comps, do you think that by the end of the year, let’s call it fourth quarter or something, that you could be running back at the levels you were running at in 2021? Just sort of doing a stacked comp kind of a thing, maybe – all the way back, by fourth quarter, could we be flat to up versus 4Q ‘21?
Michael Miller: Yes, absolutely. I mean the heavy commercial business in the first quarter was up single digits, but it was up. And as you know, because we have talked a lot about this is we are really focusing on operational improvements there, not as much sales, but I would say that we are seeing very good bid activity and bid acceptance.
Stephen Kim: Okay. Great. Thanks very much guys.
Operator: Our next question is from Carl Reichardt with BTIG. Please proceed with your question.
Carl Reichardt: Thanks. Good morning guys. I just have one. I mean in the fourth quarter, the builders were pounding on trades for concessions. By first quarter, they are shrugging their shoulders about labor tightness and starting to raise base prices. I mean even for this business, the volatility and expectations has been changed pretty dramatically. So, I am curious how that impacts your smaller peers and they are interested in potentially doing M&A deals, trying to manage through this volatility, thinking they had to cut staff a quarter ago and now maybe business is much better. Can you talk a little bit about how that might impact valuations or interest from your smaller peers on doing M&A deals?
Jeff Edwards: Yes, sure. Despite kind of the numbers and what the news might have said, I don’t know that any insulation contractors all of a sudden saw a lot of weakness because of the backlog. I think everybody remains pretty busy right straight through. And just after having been involved in a couple of hundred deals, it’s just not the way – they are not thinking about, for the most part, the big kind of macro sense of things. I mean their desire to sell and their timing on the sale has a lot more to do with their kind of life cycle and lifestyle desires and how old they are and how long they have been at it or if they are frustrated. And it may or may not have anything do with the labor or even the amount of work and so I don’t think that it’s really impactful. And in fact, I would tell you that I think this spring selling season, had they not got it done, I mean if they were, in fact, worried it may have been encouraged to say, hey, at some point in time, this market is not going to be the way it is now. This spring selling season came back strong enough and quickly enough that I think any sentiment that this was somehow going to be a great recession or anything like that all over again is out the window. And they are not being prompted now based on – with their business prospects to make different decision about whether they would sell or not.
Carl Reichardt: Right. That makes a lot of sense. Thanks.
Jeff Edwards: Thank you.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Jeff Edwards for closing comments.
Jeff Edwards: Thank you for your questions. And I look forward to our call next quarter. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.